Company Representatives: JuE Wong - Chief Executive Officer Eric Tiziani - Chief Financial Officer Allison Malkin - ICR 
Operator: Good day ladies and gentlemen, and welcome to Olaplex Inc.'s Third Quarter Earnings Conference Call. At this time all participant lines are in a listen-only mode. [Operator Instructions].  As a reminder, this conference call is being recorded. [Operator Instructions].  I would now like to hand the conference over to Allison Malkin of ICR. Please go ahead. 
Allison Malkin: Thank you, and welcome to the Olaplex third quarter fiscal year 2021 earnings call. With me today are JuE Wong, Chief Executive Officer and Eric Tiziani, Chief Financial Officer. For today’s call JuE will begin with the review of Olaplex’s mission and strategy, and highlight our third quarter performance. Then Eric will provide additional details regarding the company's financial performance and introduce the company's outlook for 2021. Following these prepared remarks, the operator will open the call to take the questions you have for JuE and Eric today.  Before we start, I would like to remind you that management will make certain statements which are forward-looking, including statements about the outlook of Olaplex business and other matters referenced in the company's earnings release issued today. Each forward-looking is subject to risk and uncertainties that could cause actual results to differ materially from those projected and/or implied by such statements.  Additional information regarding these factors appears under the heading Cautionary Note regarding forward-looking statements in the company's Earnings Release and in the company's filings that it makes with the Securities and Exchange Commission that are available at www.sec.gov and on the investor relations section of the company's website at ir.olaplex.com.  The forward-looking statements on this call speak only as of the original date of this call and we undertake no obligation to update or revise any of these statements. Also during this call management will discuss certain non-GAAP financial measures, which management believes can be useful in evaluating the company's performance.  The presentation of Non-GAAP measures should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. You will find additional information regarding these non-GAAP financial measure, and the reconciliation of these non-GAAP to the most directly comparable GAAP measures in the company's earnings release.  A live broadcast of this call is also available on the Investor Relations section of the company's website at ir.olaplex.com.  I will now turn the call over to JuE Wong.
JuE Wong: Thank you, Alison and good morning everyone. I am delighted to speak to you today and share our strong third quarter performance. And the quarter also marked an important milestone for our company as we completed our initial public offering.  Before I discuss our results, for those new to Olaplex, let me first highlight who Olaplex is? Why we believe we have been successful? And why we believe we are positioned to continue to be disruptors in the global haircare and beauty industry?  Olaplex is an innovative science enable technology driven beauty company with unique competitive advantages. We were founded with a mandate to deliver effective patent protected and proven performance in the categories where we compete.  We believe every person deserves to have healthy, beautiful hair and our commitment is to deliver results that are visible from the very first application. Studies have shown that 91% of women do something to damage their hair daily, but with consistent and regular use of Olaplex products, consumers will have stronger, healthier looking hair. With our patent protected technology, our consumers of all diverse hair types will see shine, hydration, less frizz, more body and bounce, because their hair is repaired, strengthen and protected from that very first application.  Today we have 11 key products, eight for take home use and three exclusively for use by professional stylists, which are sold in three channels; professional, specialty retail and direct-to-consumer. We believe we have been successful because our products are able to deliver visible results. We believe consumers who purchase at least one Olaplex product on average has purchased over three and half other product from our product suite in the last 12 months.  We are focused on innovation, with a strong pipeline of products under development. We have over 100 patents in our patent portfolio and patent protection in numerous countries around the world. These patents not only cover what we now sell, but also what we expect to sell in the future.  We are supported by a highly engaged community of over 250,000 professional stylists on our private Facebook group. Our Instagram community alone comprised of our committed trade partners and loyal growing consumer base, with 2.2 million followers which we believe makes us the number one prestige haircare brand on social media. We have a synergistic omnichannel mix where each channel is mutually reinforcing across professional, retail and direct-to-consumer, and all experienced strong growth in the third quarter of 58%, 128% and 87% respectively.  Our business is global with more than 40% of sales outside the U.S. in fiscal year 2020 and for the nine months ended September 30, 2021. We operate in a growing category with a large addressable market. Our euromonitor, the global total addressable market for haircare is $77 billion and within that TAM, prestige haircare is the fastest growing segment. In addition to hair, we have patents for applications of our technologies in skin care which has $140 billion TAM. We believe all of this positions Olaplex for consistent strong growth at robust margins that we believe are amongst the best in our industry.  Now turning to our third quarter results. Net sales rose 81%, driven by broad based strength to our Olaplex regiment across our omnichannel distribution; from professional to specialty retail, to direct-to-consumer. This growth comes on top of already a very strong growth in the third quarter of last year. Our margins remain strong in this third quarter of 2021, including gross profit margin of 78.9%, adjusted gross profit margin of 79.9% and adjusted net income rose 62.6% to $74.4 million, with adjusted EBITDA increasing 63.3% to deliver an adjusted EBITDA margin of 66.1%.  Our adjusted EBITDA margin in this year's third quarter includes investments to support future growth, which Eric will review in more detail shortly. In addition, the quarter included progress against our growth initiatives with increased sales productivity, new product innovation and growth from new distribution and international expansion.  Sales growth was led by increased productivity in existing distribution across our professional, specialty retail and direct-to-consumer channels. We have launched three new highly incremental products this year; two for take home use and one exclusive to the professional channel. In the third quarter we launched 4P, our first Toning Shampoo. We are very excited about this product which uses our exclusive multi-patented technology to hydrate, strengthen, soften and neutralize brassiness for brighter blonds, highlight, grays and platinum strands.  Third quarter sales also benefited from first half introduction of the 4-in-1 Intense Moisture Mask, PRO-Rx treatment, a new professional backbar reparative treatment designed to moisturize and smooth hair, while adding shine and body in just 10 minutes. And number Nº.8 our first Bond Intense Moisture Mask. We expanded our distribution adding shelf space in Sephora with an increase in Olaplex is fixed linear square feet from three in the majority of the U.S. location as of the end of the quarter. And Olaplex was part of Sephora’s rollout into Coles with 200 locations through October. In October, we entered ULTA Salon with our professional offering, as their exclusive bond builder in salon services.  Overall, I am extremely proud of our passionate and dedicated team that contributed to our strong performance this quarter, and believe we are well positioned to continue our success for the benefit of all Olaplex stakeholders. As we look ahead, we remain excited about our business prospects and expect our positive momentum to continue in the near and long term. We believe we can expand our loyal base of Olaplex users globally and continue to launch incremental non-cannibalizing new products supported by a robust innovation pipeline that is focused on solving real-consumer problems.  And now, I would like to turn the call over to Eric to review our financial results and guidance in more detail. 
Eric Tiziani : Thanks JuE and good morning everyone. I'm excited to speak with you all today. I'll begin with an overview of our business, then move to our third quarter results and finally I'll introduce our outlook for full year 2021.  Let me start by saying that I'm thrilled to be a part of telling the Olaplex story on behalf of our passionate team. Olaplex has an outstanding financial profile, with top tier profitability metrics, deep competitive advantages and a disruptive business model. We believe that our strategy provides us with a sustainable platform from which to deliver long term sales and earnings growth. We see substantial white space to grow Olaplex within our core category of haircare across channels and geographies.  Now turning to our results. Pertaining to any remarks on adjusted results, you can find reconciliation tables to the most comparable GAAP figures in our earnings release, which was also furnished on form 8-K with the SEC today.  Net sales for the third quarter increased 81% to $161.6 million from $89.4 million during the third quarter of last year. As JuE mentioned, sales were strong across channels including a 58% increase in professional to $75 million and 128% increase in specialty retail to $46.3 million and an 87% increase in direct-to-consumer to $40.3 million.  This growth was driven by increased velocity of existing products, successful product launches, and the addition of new customers. We're also happy with the resilience of our supply chain in the quarter, which enabled us to deliver this growth and build the appropriate inventory to support forward looking demand.  Gross profit rose 103.1% to $127.5 million from $62.8 million in the 2020 third quarter. Gross profit margin expanded 870 basis points to 78.9%. The margin increase was primarily due to lapping the one-time fair value inventory adjustment in the prior year period related to the business acquisition of Olaplex in January 2020. Adjusted gross profit increased 77.9% to $129.2 million from $72.6 million in the 2020 third quarter. Adjusted gross profit margin was 79.9% versus 81.2% in the 2020 third quarter. The 127 basis point decline was primarily due to higher input costs, particularly for inbound distribution in the current environment and some product mix.  Our operating expenses consist primarily of SG&A and amortization of other intangible assets. SG&A in the third quarter of 2021 was $30.3 million, compared to $8.2 million in the 2020 third quarter. This increase was driven by $6.1 million of non-capitalizable IPO and strategic transaction cost and $1.4 million of stock comp expense, which are add backs for our adjusted EBITDA and adjusted net income.  The increase was further driven by $4.3 million in cash settled unit compensation expense, $3.4 million in sales and marketing expense, $2.6 million in payroll for expansion of our work force, $1.6 million in distribution and fulfillment costs related to the increase in sales volume and $2.6 million in other expenses relating to general business growth.  Strong increases in sales and gross profit more than offset higher expenses leading to a third quarter adjusted net income improvement to $74.4 million or $0.11 per diluted share, which gives effect to the corporate reorganization affected in connection with the IPO. This compared to $45.8 million or $0.07 per diluted share in the 2020 third quarter.  Adjusted EBITDA grew 63.3% to $106.8 million from adjusted EBITDA of $65.4 million in the 2020 third quarter. Our adjusted EBITDA margin was 66.1% compared to an adjusted EBITDA margin of 73.1%, last year for the third quarter, which reflects increased investment in SG&A to support our higher sales. This included a year-over-year increase of 170 basis points, expressed as a percentage of sales in sales and marketing expense, and 141 basis point increase in payroll and other G&A excluding the IPO related and strategic transition costs.  In addition, adjusted EBITDA in the third quarter this year was negatively impacted by 265 basis points expressed as a percentage of sales due to the incremental cash settled units’ compensation expense. The majority of this is a one-time pull forward of vesting for an approximately four year period into Q3, for one particular trench of awards for non-executive employees which was triggered by the up sizing and pricing of the IPO.  Turning to the balance sheet. As of September 30, 2021 we had cash and cash equivalents of $121.5 million and our long term debt balance stood at $742.4 million. Inventory at the end of the quarter was $69.1 million compared to $21.2 million at the end of the fiscal 2020 third quarter. We are pleased with the composition of our inventory at quarter end, which is well positioned to meet demand.  Regarding the cash flow statement, we had net cash provided by operating activities of $130.3 million for the nine months ended September 30, 2021 compared to $84.5 million for the nine months ended September 30, 2020. This was primarily driven by net income and the amortization add back, partially offset by investments in working capital. Additionally, our purchase of property and equipment primarily for internal use software for the period was slightly under $1 million, reflecting our asset like business model.  Now to your outlook. For fiscal year 2021, we expect net sales in the range of $580 million to $588 million. Based on the midpoint of this range, this is a 107% growth versus full year 2020. Adjusted net income in the range of $263 million to $268 million or based on the midpoint, plus 103% growth versus full year 2020 and finally adjusted EBITDA in the range of $392 million to $398 million or based on the midpoint plus 98% growth versus full year 2020.  Our full year 2021 outlook reflects our plans for growth, both with existing and with new distribution opportunities. Keep in mind we are not able to provide without unreasonable effort a reconciliation of the guidance for adjusted EBITDA and adjusted net income to the most directly comparable GAAP measure, because the company does not currently have sufficient data to accurately estimate the variables and individual adjustments, included in the most directly comparable GAAP measure that would be necessary for such reconciliations. In summer, we are very pleased with our third quarter results and the positive momentum of our business, which is reflected in our full year 2021 outlook. We believe that our disruptive business model is working, and that our deep competitive advantages have us poised to continue delivering strong results. We look forward to reporting our progress in the quarters and the years to come.  This concludes our prepared remarks and we will now turn the call back over to the operator for questions. Operator. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Erinn Murphy with Piper Sandler. Your line is now open. 
Erinn Murphy: Great! Thank you, good morning and congratulations on your first quarter out of the gate. My first question is just for JuE on the launch of the 4P product. It seems incredible at least from our channel checks. Would love if you could share a little bit more detail of how that’s compared to some of your former product launches over the history of the company, and then I do have a follow up for Eric.
JuE Wong: Yeah, thank you Erinn for the question. Yes, as we have said, the 4P’s, our Blond Toning Shampoo which is our first toning shampoo has been very well received, because most proper shampoo tends to be drying and only brighten the hair. In our case with our technology, with the patents that we have, we not only are able to repair with the Bis-amino, but we are also able to hydrate with a lot of the moisturizing ingredients that we have that, and to highlight any kind of brassiness in blonds, as well as people who are getting their hair to a natural gray situation.  So as a comparison, I would just say that it is very successful, it is definitely a product that is very professionally honed in, and a lot of the customers are very much about looking for something of this nature that does not exist currently in the retail market. So we have been very happy with this performance. 
Erinn Murphy: Great to hear. And then I guess my follow-up is for Eric. On the fourth quarter implied guidance, I think it would imply about $152 million in sales at the midpoint and I guess I'm curious why is it implied down versus the third quarter, it was kind of $162 million quarter. Just given everything with 4P that JuE just talked about, holiday. Is there anything else on the sequential deceleration that you are implying at the mid-point for the fourth quarter? Thanks so much. 
Eric Tiziani: Yeah, thank you Erinn. So while we don't have a lot of material seasonality to our business, but there is some, and so one thing that we do see is, in the third quarter we tend to sell in the kits that are sold through in end of the year holiday and so that's one of the reasons that we traditionally see Q3 sales in absolute terms a bit higher than Q4. And we also see particularly in the professional channel, stylist buying up inventory in Q3 to get ready for the holidays, get ready for Q4 and that’s a seasonality we’ve seen over the years between Q3 and Q4.  All of that said, we feel confident, you know good about the momentum we've reflected in our Q4 guidance and we think it's a strong quarter. 
Erinn Murphy: Great! Thank you so much. 
Operator: Our next question comes from a line of Dara Mohsenian with Morgan Stanley. Your line is now open. 
Dara Mohsenian: Hey, good morning guys. So, much better revenue results than we expect on the professional side here in the quarter. Can you just discuss some of the key underlying drivers there as you look on a year-over-year basis? Obviously pretty strong growth year-over-year. How much of that was driven by a more normalized environment here from a COVID perspective versus other factors that maybe are more sustainable. And while we are on the subject, can you talk about longer term, sort of the biggest revenue opportunities as you look at growth over the next few years in the professional channel. Is it increasing the number of salons, customers within salons, etc., however you want to break it out, just also looking out from a longer term perspective over the next few years. 
JuE Wong: Eric, if you want I'll take the question on the outlook and I’ll let Eric cover some of the more specific numbers. If you can look at what is happening with us in the United States, the number of stylists and salons for Olaplex are now above pre-COVID levels. We are seeing significant growth in our professional channel with both new and repeat customers, and outside of the U.S. all the professional markets are open, while they are seeing some limitations in their ability to conduct business with vaccine mandate, but as well as social distancing, we still believe that at the end of it because of our runway and opportunities we are still going to continue to experience growth in the professional channel.  So hopefully that answers your question on where we see ourselves on the professional side. I'll turn this over to Eric on the revenue expansion. 
Eric Tiziani: Thanks JuE, hi Dara. Yeah, so professional had a strong quarter in the third quarter. We think all of our channels did, and I must say it is broad based. So broad based across channels, but also within professional it’s really momentum in our core portfolio as awareness is building. It was momentum in the new products that we launched, 4-in-1 which was our professional exclusive launch in the second quarter continued to do well in the third quarter as well as the launch of 4P. And also, the support for the holiday programming that's being sold in across all three channels. We really just thought broad based across the portfolio and across geographies. 
Dara Mohsenian: Great! That's helpful, and just one follow-up in specialty retail. Obviously very strong growth, also in the quarter. So far your retail partner footprint is fairly limited, obviously particularly in the U.S. Can you talk a little bit about the potential to expand to additional partners in the U.S. over the next couple years here; the longer term door opportunity versus where you stand today on the specialty retail side. Thanks. 
JuE Wong: Thanks Dara for the question. As you can see, we are very focused on our current distribution. If you look at our footprint, even at Sephora from our publicly resourced documentation, you will see that our penetration still has a lot of runway, while we are very successful standalone brand at Sephora. We also have seen that we have recently expanded into 200 doors with Coles through October and in October we entered into the ULTA Salon with our standalone treatment, as well as our professional offering.  So we are going to continue to focus in our core distribution in a couple of those new distribution opportunities that we have, that I have just articulated for you and we believe that if we continue to monitor how we perform in those areas, we will continue to deliver the performance that we believe we can deliver. Ultimately I think what is exciting for us is our core footprint has still a lot of runway and opportunity for our sales to grow. 
Dara Mohsenian: Great! Thanks guys. 
Operator: Our next question comes from the line of Jason English with Goldman Sachs. Your line is now open.
Jason English: Hey! Good morning folks. Thanks for slotting me in. Congrats on a successful IPO and a strong quarter out of the gates.  I want to put a slightly finer point on Dara’s question there on distribution. You mentioned you've gone into the salons, the back bar at Alter. Can you give us an update on how that's going so far? And can you describe maybe some of the criteria or milestones that need to be met for you to start to sell your products on the front end of the store there.
JuE Wong: Thanks Jason for the question. So let me take your first part of your question. We are going to continue to monitor how our professional products are doing at ULTA, because we know that the opportunity to grow our service offering as well as the awareness at ULTA is tremendously high, because more women actually visit the ULTA salon and how we are going to track it is we’re going to track the number of customer that had color services, and how many of them actually choose to add Olaplex to their service as a key metric for success.  As to you know what else are we going to go in terms of expansion of distribution into specialty retail, as I've mentioned, we just have so much with core accounts that we really want to be the number one hair care brand of the top 5 beauty brands in the offering so that we become an anchor brand for them. And when we are anchor brands for any of our partners, we then are able to really partner up on marketing, brand building, as well as growth. So those are key growth considerations for us in our partnership with our existing players. 
Jason English: That's helpful, thank you. And you also just talking about expansion, but shifting from distribution to portfolio, you mentioned in your prepared remarks that you've got patents covering not only what you sell today, but what you could sell in the future and then you went on to specifically call out Skin Care. I think most listeners are going interpret that as you foreshadowing us a launch into Skin Care. So two questions or a two-part question, (a) is that a reasonable interpretation, and (b) if so, what and when would it look like? 
JuE Wong: Again, thank you Jason for the question. I think what we were doing is that we were just reiterating what we have previously shared. We have patent applications for skin care. We did a study through our transformation team with an independent agency to really call, see do we have permission to play in agencies such as skin care and we saw the data as being very promising. 82% of people familiar with Olaplex actually said, look we want to see a skin care from you Olaplex and 51% of them basically say I will switch my skin care to an Olaplex product sight unseen, because you guys lead with science and technology.  So we know we have the permission to play, we have a permission to win. As to when we will get in there, at this time is all about exploring and giving ourselves options. I will not be able to give you anything definitive at this time. 
Jason English: Got it. Great states though. Thanks for sharing those. I'll pass it on. 
Operator: Our next question comes from the line of Andrea Teixeira with JP Morgan. Your line is now open. 
Andrea Teixeira: Thank you. Good morning and congrats again. My question first is on innovation and is the success of 4P or the 4P launch, would allow you to potentially launch in hair dye infused with Bis-amino. It think that probably paves the way for you to do that, and I was curious to see if you are looking at that more closely.  And then just a clarification on the ULTA Salon that par availability. And to your comments on waiting for that performance, is there any time table for that decision and do you have any potential exclusivity with other retails including Sephora that needs to be lapped in order for you to go into ULTA or anything that prevents you to go right away? 
JuE Wong: Again, thank you so much for the question, because it will help us clarify. So first and foremost, we have a clear line of sight in our product development platform of launching an average of two to three products a year, all the way through 2024 and the way our R&D work is, we are working on a long haul, meaning that when we look at opportunities for ourselves, we look at data driven studies, as well as trend analytics, and that's how we will continue to really surf up what our consumers want and need. Because consumer insights really guidance us in delivering what is the most appropriate product for the market.  Secondly in terms of ULTA, we are in early innings with ULTA. If you’ve seen, we’ve just entered the salon offering with them in October. We will continue to monitor our strength. Early indications is we are doing very, very well from our sales team led by Tiffany Warden who is our COO and she has been really keeping very close to the pulse of it.  As to exclusivity, you have seen, we are in Sephora, we are in Blue Mercury, we are now in ULTA Salon. So we will continue to really double down on being the number one haircare brand, the top 10 beauty brand with all of these retailers, so that we can continue to be an anchor partner with them. 
Andrea Teixeira: Thank you. 
Operator: Our next question comes from the line of Olivia Tong with Raymond James. Your line is now open. 
Olivia Tong: Great, thank you. Congrats on the IPO in the quarter. The first question is around further increasing brand recognition, because obviously it sounds like your consumers are incredibly satisfied with the products. So we’ve obviously seen the holiday program at Sephora which looks like a great trial builder. Can you talk about other things that you're doing, either through the holiday season or beyond that helps build the brand recognition and potentially the consumer base? Thank you. 
JuE Wong: Thanks Olivia for the question. I think what is important to note is, we are very focused on what really builds long term growth and when studies have shown us that there are three sources of truth. When it comes to brand building and marketing awareness, first and foremost, especially for hair is where they want to take recommendations from their professional hairstylists. So building that community will continue to be our focus.  So with that said, the number two area, the number two source of truth is product reviews and word of mouth which is the third one, which means that we are already in that space through our social media engagement, connection and conversion with our performance marketing, whether it's via digital media or search engine optimization. We will continue all of these interactive tools to connect, engage and convert our customers. And if we continue to do that, the marketing branding and the awareness build would just be a lot more organic as well as strategic, because this is in partnership not only with what we are doing, but driving our traffic to both online and offline retailers that we partner with. 
Olivia Tong: Great, that's helpful. And then hopefully I’m not getting too ahead of myself here, but clearly as we sort of cycle into Q4 into next year, the first half comps are quite impressive. So just if you could give a little bit of color in terms of thinking about the comps, may be as you lap those quarters next year, was there pent up demand, anything else in the base that we have to be concerned about, whether stimulus had an impact or anything like that. Just trying to think through, as you start to comp some pretty big growth, even bigger growth numbers heading into next year. Thank you. 
Eric Tiziani: Hi Olivia.
JuE Wong: Eric, do you want me to – do you want to take that? 
Eric Tiziani: Yeah, I’ll take that one. So we provided and introduced our full year 2021 guidance which takes us through Q4. We would anticipate providing full year 2022 guidance when we come together for Q4 results.  So I can't say much there, other than we're happy with the guidance and outlook that we provided for 2021 and we're going to aim to grow at our ambition on top of that new hire base. But I'm not going to get into that, into the quarters which there's always going to be some noise in the quarters. We're going to focus on delivering over longer periods of time, but thank you.
Olivia Tong: Thanks very much. Best of luck! 
Operator: Our next question comes from the line of Stephanie Wissink with Jefferies. Your line is now open.
Stephanie Wissink: Thank you. Good morning everyone. We had a follow up question on costing. I think Eric in your prepared remarks you mentioned some inbound distribution costs, higher input costs. Just want to make sure we're thinking accurately about the fourth quarter, what's implied in the guidance for gross margin. And then if you could just remind us how your inventory mechanism works, is that the first-in, first-out, last-in first-out, how should we be thinking about the more recent costs versus what's on the balance sheet and any consideration for gross margins going forward. Thank you.
Eric Tiziani: Absolutely! Thanks Stephanie. So yes, when we when we talk about Q3 gross margin performance in adjusted gross margin performance, we noted that there was some pressure there, particularly from inbound freight costs. The freight costs between warehouses, into our warehouses, that falls into our cost of goods, really in the current environment and that's in the current macro environment that we're well aware of and we do project that forward into 2022 and we've assumed that and we’ve reflected that and taken into consideration in the guidance that we provided for full year 2021.  There's one other element in Q3 that we mentioned, which was some product mix, and you know that really relates to – we do sell more kits in Q3 as we sell in Q3 for end of year holiday programming. It does come at a slightly lower gross margin and not something for example that we don't project forward into Q4, so it’s more of a Q3 thing, which is per usual, per our normal annual programming there.  And then in terms of…Yeah, go ahead.
Stephanie Wissink: I'm sorry, go ahead Go ahead Eric, my apologies.
A - JuE Wong: I was just going to say in terms of our inventory builds, you know it does mean that we believe our base, our inventory accounting and cost accounting that we do have good line of sight to the finished goods costs and the input costs that we've assumed in our Q4 gross margin outlook. 
Stephanie Wissink: Very helpful. Thank you so much. 
JuE Wong: Sure. 
Operator: Our next question comes from the line of Lauren Lieberman with Barclays. Your line is now open.
Lauren Lieberman : Great! Thanks, good morning. I wanted to talk a little bit about DTC and I was curious if you could comment on how much of your gross qualitatively or quantitatively is coming from your own DTC website versus the Amazon or other third parties. And then also, anything you can share on investments you’re making to improve the DTC experience beyond the kind of initial sort of rudimentary diagnostic tool that exists today. Thanks. 
A - JuE Wong: Eric, do you want to take that, the first part, and I'll take the second part of what we're going to build out on the DTC.
JuE Wong: Yeah, absolutely. Hi Lauren! I just took a look specifically at that and it’s a pretty easy answer. The growth we're seeing between our own dot com and pure play e-comm, so when we report direct-to-consumer, just to clarify for everyone, it's the combination of both of those things, our own Olaplex.com and pure play e-comm. They are very similar growth rates, so we're seeing similar trends across both. 
Lauren Lieberman : Great!
JuE Wong: Yeah, and so you know in terms of our own Olaplex.com, one of the things that we have also highlighted is that we are expanding our peaceful Olaplex.com to key markets and this includes markets outside of the U.S., like Canada, the U. K., Australia, some of those markets that we have already shared earlier on.  But what is important to note is that our high diagnostic program is also going to go through a 2.0 version. So we believe that as consumers continue to be so engaged in wanting to know what about their hair, we are also going to expand on that opportunity for them to answer more questions, to provide more data about themselves, so that we can serve up better recommendations and regiment programs for them. So those are all in the works and we are excited and hopefully we'll be able to share with you at the appropriate time. 
Lauren Lieberman : JuE is any of that – is that in pilot today? Like I think you've talked a bit about your ability to collect data also. So I was wondering if that data collection that's already serving you so well is primarily from the existing diagnostic results or some of the – if there's a pilot of this 2.0 or it's still premature. 
JuE Wong : So our transformation team has been working on a care to make sure that the 2.0 is up to speed together with our e-comm team. But what is important to know is consumer insights have been gathered, you know not necessarily just on dot com, but also from our own sales team, and as you know, we updated our own dot com in April 2020, so that is a lot of data that we are able to glean from and be a lot more sort of discipline and structured in analyzing those data to help us make better decisions. 
Lauren Lieberman: Okay, great. And then I had one follow up on the professional conversation from earlier, which was I was just curious if there’s any win share [ph] on your strategy for penetrating the professional network outside the U.S., and just same kind of question I guess on DTC. Any win share on the positive surprise in professional this quarter being U.S. or international?
JuE Wong: Yeah, so in terms of expansion we will continue against the plan that we have. Like I say, we are here for the long game and as we have successfully introduced in the U.S., that plan, that program that we have, we will continue to use that and introduce that into the international space which we are already doing part of it, meaning that we will have multiple distributors serving each segment of the salon market, while we'll then layer in specialty retail to really drive brand awareness, partnering you know with premium retailers in those respective countries. And that D-to-C as you have correctly pointed out, it is really getting ourselves ability to gain more consumer insight to serve out what our consumers want and need from us, while at the same time providing 24/7 convenience for them to buy from us. So our international playbook and our domestic playbook is very similar, but obviously you know we will look at the new answers that is in each region or each market. 
Lauren Lieberman: Okay, great. Thank you very much. [Cross Talk]
A - Eric Tiziani: Lauren just to expand on the question you had around the U.S. versus international in the first quarter, it was strong in both, but I will say it was particularly strong in the U.S., which is great to see as we have our channel flywheel that we’ve talked about really humming. 
Lauren Lieberman: Okay, thank you very much. 
Operator: Our next question comes from the line of John Kapoor with Bank of America. Your line is now open.
John Kapoor: Hey guys! Congrats, you have a strong quarter. So I mean a bunch of good questions got asked. I will – I kind of wanted to tag one onto Stephanie's question around the inflation environment and all that. I understand you guys have a good line of sight on how to manage it. I was just wondering, near or long term, what is your willingness to move away from that $28 price tag that sort of become associated with the brand. You know I just wonder how hesitant you guys might be to come away from that price point and if so, can you guys drive margin support from like pack size, architecture or mix or something like that. I just wanted to get a sense of the potential for margin support. 
A - Eric Tiziani: Absolutely John! Thanks for the question. So you know let me start by saying as we see cost inflation pressures that first and foremost you know we're going to be focused on efficiencies we can drive in purchasing and efficiencies we can drive in our supply chain. Particularly as we're growing at the rate that we're growing, there are efficiency that come from the higher volume and so that is an offset to some extent, both this year and what we see moving forward.  We will – you know we're not going to comment on any intentions we have on pricing, but you asked a great follow up question there, which is we're always looking at net revenue management opportunities, pack price architecture, you know as we go into new markets, as we launch new products and those are absolutely levers that we will pull over time and that we look at constantly.  And you know I’ll just close it by saying, we believe the equity of our brand is very strong and so you know we’ll have options in the future, but we're not going to talk about our intentions there.
John Kapoor: Yeah, fair enough. And then I guess lastly, I was just wondering about the innovation timeline in 2022. You know I think we all understand that you guys have a long runway of products lined up for the next few years. I was just wondering about timing. You know quarterly when should we expect those to land? Should that – will you guys be consistent year-over-year and when new products do land and then I guess sort of as a follow up I was just wondering, and this was sort of a long shot, but you know the Bis-amino technology has done well to expand the product offering to 11 different products. I was just wondering if – you know should we expect a new technology or new chemical near term or is that something that's slated for beyond 2025. 
A - JuE Wong: Well, thank you very much for that question. I’ll take your last question first, because that's a very exciting one for us. As we've mentioned prior before, you know as we were getting ourselves ready for an IPO, it was very clear to us that R&D, we are a fact enabled technology driven beauty company.  So for us the technology piece is very important and we are not going to rest on one, you know on our laurels, and we already, our R&D team has already started before even the IPO process on looking and partnering with research institute as well as universities without grants that will look at opportunities, as well as biotech companies where we can really partner up and really leap for the technology space and be able to use delivery systems that are unique, not only for what we call results that are visible on the first application, that is what we stand for, but also in terms of a long run rate, in helping us to be a defined in that space in science.  Our R&D team managed by a chief scientist that has at least close to 30 years of experience is going to help lead that charge for us. So hopefully that answers your question on our R&D and our dependency on one or two technology. The other question that you asked about is launch timing. We have as you have seen in 2021, we have lunched three of our products. We are going to stick to that cadence of two to three products a year. And when the time comes, we will make the announcement, because being able to make and launch announcement is critical to our marketing campaign. So you will hear about it in good time and we are very excited of what we have in 2022. 
John Kapoor: Great. Thank you. 
Operator: Our next question comes from a line of Jonna Kim with Cowen. Your line is now open. 
Jonna Kim: Hi! Thank you for taking our question. I'm just curious, I know it's early on, but Sephora and Coles, how those stories performed out of the gate versus the regular Sephora stores as you kind of monitor the progress. And just another follow up is obviously you have an impressively lien organization currently and as we scale the business across channels and geographies to expect to invest higher on the head count and just building up your organizations. Thank you so much. 
JuE Wong: So let me take the Sephora and Coles. It is very early innings and very early days. They’ve just really launched through October, the 200 doors with us, but early indications is just very promising. We are one of the few, sort of – they have 125 brands, let’s put it this way, and we are one of the 125 in a slate of 300 plus brands that Sephora has in their proper, standalone Sephora dose. So to be part of the 125, you would know that our performance will continue to be strong and that we have delivered for them our prior.  In terms of our organization, we are growing our organization, and this is the reason why you've heard from Eric, where some of our expenses has been going, in really managing for plan, for investment that is the ahead of growth and we will continue to do that, primarily because we expect ourselves to continue to deliver and we need the people to really support us and we will continue to invest behind them. 
Jonna Kim: Got it. Thank you and just one follow-up is, I know China is still small, but did you see any sort of notable performance there and sort of what initiatives do you have in place to drive higher rent awareness in the country. Thank you so much. 
JuE Wong: Right. So we are very excited. As you know 11/11 is just, in fact is tonight in China and we are seeing very strong early indications. As you know even though its 11/11 a lot of brands started in mid-October and we have seen very promising results. In fact, we believe China team Tmall Global online business will be something that will continue to grow, and the reason why that is exciting for us is, we are able still build brand awareness online with the mainland Chinese consumers and so even when we are able to get into the mainland Chinese proper, those consumers will already be familiar with our brand. 
Jonna Kim: Thank you. 
Operator: Our next question comes from the line of Dana Telsey with Telsey Advisory Group. Your line is now open. 
Dana Telsey: Good morning and congratulations on the results. As you launch new products, you've mentioned in the past about higher margins on the new products. What are you seeing in new products? Is there a difference between the type of product and the margin you’d be achieving? And then I have a follow up on any update on the Tmall partnership? Thank you. 
Eric Tiziani: Hi Dana, I’ll take that first one. So I think what we said in the past is, in our product development process, we will set thresholds and goals for the margins of those new products, and really design around that and design accordingly, and that's worked well for us to either be accretive or neutral to that the rest of the portfolio. It will always depend product by product. As you know we have some new products that are exclusive to professional, some that are across channels for in-homes. So we are not going to talk about specific margins at the product level, we just reassure that we have a very robust process that goes into the design and ensuring that those are profitable for us. 
JuE Wong: And you have a follow up on Tmall Global? 
Dana Telsey: Exactly. How did that do, and then JuE how are you thinking about skin and I know that, expanding into other categories and when do you start investing in a potential skin launch? Thank you. 
JuE Wong: So on that question as I’ve answered, I think Jason was the one who asked that as well. We are going to continue to explore opportunities for ourselves. I will not be able to share with you definitively the timing of this, because ultimately, we need to understand the market better and we will do our due-diligence according. 
Dana Telsey: Got it! And then Tmall? 
JuE Wong: And what’s your question on Tmall, sorry. 
Dana Telsey: How is that partnership progressing? Any update on that partnership expanding or how you are benefiting from it. 
JuE Wong: Yes, so again, you know this is our first year anniversary in 2021, 11/11 will be where we are. And we have studies that shows that we are the, one of the most socially buzz brand in China and as you can appreciate, social media is the leading indicator of success in that market. We will continue to do, to build our brand awareness through our portfolio with our distribution on Tmall Global online, and so because of what we have already done in terms of the social media platform build out, we will continue to do the connection, the engagement and the conversion as we have done. And again I emphasize, this is a long game for us. We don't go in and out on specific activation. We really drive our activation and really measure it and then double down on it if it works, and then drop it if it doesn't work and go on to something else. So the discipline is in our marketing disruption. 
Dana Telsey: Thank you. 
JuE Wong: Absolutely! Thank you.  [Cross Talk] Go ahead, operator. 
Operator: Our last question comes from the line of Rob Ottenstein with Evercorer. Your line is now open. 
Rob Ottenstein : Great! Thank you very much, and I also want to offer my congratulations to a terrific start as a public company. So my first question is a follow up to I think one of the first questions of the Q&A and that is, I think you mentioned that your number of stylists is now above pre-COVID levels. Can you talk about what is the best way to measure your penetration in the professional segment? Is it by stylist, is it by salons, and where with you see, how would you calculate or guesstimate what your penetration is of that segment? 
JuE Wong: I think first and foremost, if you look at the Professional Beauty Association data, they will let you know that there are 800,000 professional hair stylists as registered with them. And we have well over 250,000 that is in constant engagement and connection with us on our Facebook group, meaning that they are interacting with us, they are engaging with us, they are producing content for us. So we feel very strongly that that continuous community build will continue to serve us very well. 
Rob Ottenstein : Great! And do you have any kind of sense of the 800,000, how many buy your products on an annual basis?
JuE Wong: I think at this time, we would not be able to serve-up specific data, but as you can tell from our growth of plus 58% year-over-year in the professional channel, it will indicate for you that we have a lot of the stylists as part of our ecosystem. 
Rob Ottenstein : Terrific! And then my real question is, we did a lot of survey work on your product and one of the things that was most surprising is that 70% of all women that we surveyed and that was a pretty good group, I think 2500, 70% had not even heard of Olaplex. Number one, is that consistent with your data and number two, what do you think the best ways are going forward to increase awareness in the general public? Thank you. 
JuE Wong: Thank you for the question. As we have always said, our one way to kind of really do well is brand awareness and therefore in building brand awareness it's about being disruptive by building our community, as well as using data driven marketing performance to help us really hone in on what works and what does not work. So we are going to continue with that platform and really building the professional community to be our strongest advocate. And we will not stray from that, but at the same time through data performance, we are going to also look at digital media buy and driving consumers to both brick and mortar and online retailers, so that that awareness build can be more long lasting. 
Rob Ottenstein : Terrific! Thank you very much. 
JuE Wong: Absolutely! 
[End of Q&A]:
Operator: Thank you. There are no further questions. I will now turn the call back to CEO, JuE Wong for closing remarks. 
JuE Wong : Thank you so much, Sarah, and thank you everyone for joining us today. We wish everyone a happy and healthy holiday season and a New Year. We look forward to speaking with all of you again at an upcoming Investor conferences and when we report our fourth quarter results in March of next year. We’ll see everyone soon. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.